Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 3M Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Matt Ginter, Vice President of Investor Relations at 3M.
Matt Ginter: Good morning, everyone, and welcome to our second quarter business review. For those of you that attended our Investor Meeting in Kentucky last month, we hope you found it helpful in understanding our company further. Also, as I've mentioned on the past two calls, please mark your calendars for the morning of Tuesday, December 7, when we'll host our Annual Outlook Meeting in New York City. Complete details regarding timing and location will be available very soon. Before we begin, take a moment please to read the forward-looking statement on Slide #2. During today's conference call, we'll make certain predictive statements that reflect our current views about our future performance and financial results. We base these statements on certain assumptions and expectations of future events that are subject to risks and uncertainties. Item 1A of our most recent Form 10-K lists some of our most important risk factors that could cause actual results to differ from our predictions. So let's begin the review, I'll turn the program over to George, and please turn to Slide #3.
George Buckley: Thank you very much, Matt, and good morning, everybody, and thanks for joining us on our second quarter call. As you see, it was another outstanding quarter for us in both revenue and earnings as we essentially repeated and built upon the success patterns of recent quarters. In fact, sales of $6.7 billion matched our previous all-time quarterly record set in 2008. And coming off the depths, the recent recession, I think this is a remarkable achievement by 3M's people, holding one year after such a terrible economic contraction. We once again delivered tremendous organic volume growth 18% this time, to the twice the rate of global IPI. While it's difficult to determine accurate and the exact sources of growth, the strong economy was certainly a factor and as we explained, last quarter, we continue to take market share and create new markets with the high level of new product vitality. It's opening many old and many new customer doors for us. As we've done throughout the downturn, we continued to invest in and build for the future. In Q2, we took a major step forward, increasing advertising and promotions by nearly 30%, mostly in consumer and increased R&D spending by 13%. I think this speaks directly to the strength of the 3M model and that we were able to generate very high-quality results even as we invest and build the future success. Second quarter record operating was $1.6 billion, up 34% on last year. I'm especially pleased with our margin performance at 23.7%, with all businesses achieving 22% or better margins. The corresponding EPS of $1.54 per share is 38% increase year-over-year. Now let me take you quickly through the business highlights. Please turn to Slide #4. In our largest business, Industrial and Transportation, sales were up 23% and leveraging was outstanding with profits of 66%. Within that segment, our newest division, Renewable Energy, was up 73% of sales, coming up of 72% increase in the first quarter. FYI, we built a brand new coating line for this business in Singapore last September, which very quickly sold out. So we'll be expecting capacity again in the most of the come. Also of note, is that our Automotive OEM sales were also up nearly 50%. This compares to global auto build in the mid-20%. And Abrasives, our oldest business, was up an impressive 28%. Health Care sales rose 5% in dollars or about 6% in local currency terms. H1N1 was about a point drag on health care growth. The stars in Health Care were drug delivery systems, which is creating double-digit growth, largely from new products. Dental care sales were up 7% in local currency and our core Skin and Wound Care business grew at a similar rate. Health Care profits increase in line with sales, reflecting increase investment levels, even both with those investments, margins were very spiffy at 31%. Display and Graphics continued on its impressive growth and profit trajectory, with a 30% sales jumping profit up 69%. Optical systems again led the way, with a 64% sales increase, driven almost entirely by new products. Our technology is in the sweet spot of need as LCD TVs migrated to LED backlights. Another star was our Commercial Graphics business. In 2009, it was impacted greatly by the downturn and is now on an upswing. With second quarter sales up 22% year-on-year and 12% sequentially. This is especially encouraging more generally since in our experience, Commercial Graphics is usually a property for future business renewal and advertising spend. Consumer and Office sales rose 10%, with organic growth accounting for the half the increase. Acquisitions were also a significant driver, with the addition of ACE Bandages in the retail health care space and A-One in the Asian retail level market. Consumer and Office is another investment story as we're having sales and marketing resources, especially internationally, and addition to the add merch investments I mentioned earlier. Profits rose 7%, with margins in a healthy 22%, very good for Consumer business in these unusual times. Safety, Security and Protection Services grew sales 10%, a great result even as H1N1-related respiratory sales naturally tapered off as that crisis passed. We estimate that H1N1 added about $18 million sales to the second quarter results in comparison a year ago, the H1N1 sales totaled $50 million. So the drag on Q2 growth for the total company was about 0.6%. Security systems posted growth of over 30% and both Industrial Mineral Products and building commercial services drove double-digit sales increases. Profits in SSPS rose 9% and margins were maintained north of 23%. Last, but certainly not least, Electro and Communications sales rose 32%, while profits rose a whopping 150% and margins approached 23%. Consumer electronics is the story here as our business is serving the electronics market grew over 60%. Using logic chipset sales as a proxy, the industry was up 34%. You might logically ask why we're growing so much faster than the market. The answer again is new products like our Optically Clear Adhesives, a new market share as increasingly same components are being specified into a number of leading electronic handheld devices. Growth wasn't limited to electronics though, as Electrical Markets division, which is utility, MRO and construction-oriented division, sales grew by 17% year-over-year and nearly 10% sequentially. So in summary, with another terrific quarter, with some real eye-popping results. Some of the others have said that as a practical matter, investors are not interested today in anybody's second quarter news or their results, only what they see is a very uncertain future. We certainly understand and sympathize with the basis of that view. So in that vein, let me try to answer two principal questions for you today. The first is, what are we seeing in economies around the world that might indicate where these markets are headed in the coming quarters? And the second question is, what progress is 3M making toward our goal of more or less doubling our natural organic growth rates? And hopefully, I mean, a target north of 7% growth if IPI is in its normal historical balance of 3% to 3.5%. Just remind ourselves that for the second quarter now behind us, we have seen the end of arithmetically easy year-on-year growth comparisons. It's now going to get a lot harder for everyone, not just 3M, from here on in. We made that simple observation at the beginning of the year on our fourth quarter '09 conference call, where it seems to have been misunderstood here and there. We were never speaking about the innate growth capability of the company, only a simple exercise in year-over-year arithmetic. So turning to the world economies. The pattern of end market demand we're seeing has remained very positive overall. These are the things you'd expect to see happening as an interesting positive twists and turns. Asia and Latin America will be no surprise to you and that they remain very strong. Before anybody infers that this was just the law of averages, working across several months in many countries, let me give you a little bit of extra data. China as a proxy for Asia rose 51% in the quarter and 45% in the month of June, and Korea grew 68% in the quarter. Brazil rose a comparable 50% in the quarter and 42% in June. Europe was quite strong for us also with local currency growth coming in at 11% for the quarter and 11% in June as well. For context, please remember that the recovery had already begun for us in June of 2009. There was some mild softness in Spain and Greece, with sales flat for the quarter as you expect. But we see no signs of contingent in our numbers. A few small Eastern European countries fitted that same pattern. The sales in June showed good recovery in trends. FYI, Greece, Spain and Portugal combined make up only 1.5% of our total sales therefore, not a large factor for us. Even if you market as whole showed gains of 38%. You can see now why we have such a focus on our international strategy when you consider the emerging markets now account for fully 1/3 of all 3M sales. It was EMEA, five years ago, the emerging markets comprised only a quarter of our sales, up significantly smaller base. For the quarter, the big European economy is running two different speed lanes. Germany was in the Autobahn-style super-fast league at more than 20% local currency growth in the quarter and 27% in June, which more than made up for any slowness elsewhere in Europe. Germany's IP on the quarter was estimated to be 9%, so we grew at about 3x the market in Germany. Italy, France and the U.K. were all in the cruise lane at about 5% to 6%. You can imagine what happened in these countries from here on in will be highly variable for market-to-market, affected by a combination of the presence, or lack of, local stimulus, funds, foreign exchange rates. China especially is impacted here. And whether the end markets our local consumer led were more export oriented in what rates they were recovering at. We really don't have the time to go over each of them one by one. Export lead manufacturing economy like Germany, Japan, China, Korea and Taiwan, all effectively remain robust at this time. So overall, we remain cautiously optimistic and think the risk of a second economic collapse is small. That said, when stimulus funds ran out. We must expect the collective end market demand in those economies to taper off, accentuated by the more challenging arithmetic of year-over-year comparisons. Underlying market growth is slowly increasing in both markets, perhaps not at the same date as stimulus funds could dry up, depending on local policy execution. U.S. is trying to feather in that change to avoid a sharp decline in demand. The outcome is that there will be possibly a period of slower growth beginning in end markets later this year, perhaps late Q3 or early Q4. This is in the double dip per se, it's just a soft spot and very normal as economic growth takes a breather for a while, and adjust to new circumstances such as higher interest rates, lower stimulus or commodity inflation. All are very normal in my view. We get one in every recovery, and I think the fact here to build is that companies who innovate well can beat this trap. The unknown factor, one is very hard to assess with any position, is the one that certainly impact the debt levels in Europe. If all the nations in Europe address this problem systematically and simultaneously then growth will inevitably ease. Reports suggest this factor could reduce eurozone GDP by 1% to 1.5%. In my experience, cost-reduction programs are always less successful than they were in tension plan. To my mind, as long as they're breaking up on an overly [ph] hard, slow economic growth is certainly better than sovereign debt defaults and bodes well for a better future as default risk falls. And as always, we as a company keep innovating and differentiating, this mild slowing is not necessarily negative for 3M. After all, we show we can comfortably overcome a small 1% GDP reduction in a few countries. It's relative competitive advantage that counts. I maintain my view that, if you shake the bottle, the cream always come back to the top of the milk. In the U.S., the key to improve long-term growth remains unemployment and investment. Candidly speaking, the U.S. government wanted to help the situation, it will be finding ways to encourage investment in manufacturing and not having more entitlement programs. In my view, prosperity is the best way to ensure security in any nation and to any company. U.S. employment is moving forward a bit, even if it's at a stalagmite pace. Productivity for us in many other companies is outpacing both inflation and GDP growth, and that means two things. One, margin trends will be good; and two, apart from new technology areas, overall, hiring will likely be low. For those companies who have the capability to differentiate, innovate and thoughtfully invest in new, as well as core markets, I think the environment can be pretty good. And in a perverse twist of irony, it offers real competitive advantage to innovators like 3M. This is simply a process of Darwinian Economics at work. Turning to 3M's growth capability. We see trends for three or four quarters, which suggest that we might be close to cracking the growth cord, and the paths we're close to the tipping point, that we've long been in search of. So when would we know this for certain? I feel a little bit like an economist now by saying that to be definitive, we need more data. Q3 and Q4 are going to be very important in the quest as the world economy cools a bit and any inventory transcends to the extent that they ever existed died down. It's at this point of the share and market creation data will become much clearer. But tipping point or not, all in all, we seem to be making  meaningful progress toward our long-term growth objective. I think this is completely logical to believe as our NPVI number goes up. We should expect that it translates into more growth, either through market creation are share gain. If it doesn't, then why bother? What is unknown and probably unknowable is whether the share gains we made a sustainable or just a one-time function of economic recovery. The important factor is the improving implicit quality of the products under the umbrella of that NPVI number. With more platform products being released than ever and a greater percentage of longer live products, the overall trend is very positive and we plan to show you more of the data behind it in our year-end update in December. To summarize, our microeconomic views that played out more or less as we expected, confirming there are plan of wars and still is the right plan. To speak candidly, we believe we can deliver superior performance whatever economic scenario unfolds, good or bad, and we're not afraid of it. We clearly demonstrated our ability to generate growth and leverage earnings, while always keeping our eyes in investment on the longer-term price of much higher growth. What's clear is that we have tremendous momentum in our favor. With 18% organic volume growth in Q2, which is well in excess of the market growth. For three quarters in a row now, we have generated net growth of about 8% to 9% above the market. We all know how fickle these things can be, but this is clearly much more than a one quarter flashing the path adjustment. In fact, we've outpace economic growth by a large margin for nearly a year. If we can do this again in the next couple of quarters, I think we should all conclude that growth point has been proven. I can't, however, promise you a monotonically  increasing pattern. The road to growth often has a few bumps on it. We also have to closely watch demand and have the confidence to investing capacity just a little bit ahead of it. Otherwise, we'll startle growth as capacity not demand becomes a new choke point. 3M's people have proven to simultaneously do acquisitions, invest heavily in the long term, drive R&D productivity and service low part of the trepid without margin collapse. If the growth point gets proven in this next couple of quarter, and if I were in your shoes, I'd soon be asking the next question, how much more money can you put to work and repeat the trick. So with that, let me address our outlook for the year. Please turn to Chart #5. Very strong second quarter behind us and great forward momentum, we are raising our full year 2010 expectations for the third consecutive quarter. We now believe the organic sales volume will come in between 13% and 15% for the year versus a prior forecast of 10% to 12%. We also expect that earnings per share will fall somewhere within the band of $5.65 and $5.80 on an adjusted basis versus a prior expectation of $5.40 to $5.60. We anticipate that our operating margins will be above 22.5% for the year, up a point higher than our previously expected numbers. Our tax rate and share count are unchanged versus last quarter. I hope this kind of call helps you, and I'll now turn over the call to Pat to explain our second quarter results in more detail.
Patrick Campbell: Thanks, George, and good morning, everyone. Please turn to Slide #6. On a year-over-year basis, sales rose 18% in the second quarter to $6.7 billion, and importantly equaled the previous peak sales level from the second quarter of 2008. Growth was led by Asia Pacific at 42% and Latin America and 23%. We saw tremendous growth in some sales through some of our large and important business and industries, including 61% in  the Electronics and 49% in Automotive OEM. As George mentioned, we grew much faster than the underlying market in both of these cases. As in the first quarter, organic volume drove up our results in the second. Organic volume rose 18% worldwide, with increases of 38% in Asia Pacific, 22% in Latin America, 11% in Europe and 9% in the United States. Acquisitions there is 70 basis points of growth versus the second quarter of 2009, primarily attributable to the recent purchases of ACE products, home of one of the great consumer health care brands, and A-One labels, the second-largest retail and office label producer in the world. Both of these transactions are on track to deliver in 2010 and well beyond. Selling prices declined at 60 basis points in the quarter, a bottom line with our plan entering the year. The decline was largely due to normal price down trends within our Electronics businesses. Gross profit grew 20% year-on-year and gross margins rose just over a point to 49%. Strong volume growth certainly boosted gross margins, in fact, utilization rates were very good in the quarter. We also experienced carryover benefits from restructuring actions undertaken in 2009. These gains more than offset some modest pricing headwinds, both in terms of selling prices, which declines 60 basis points and raw materials, which increased just over 3% year-on-year on a gross basis. We fully anticipated this in our plan for the year. Looking ahead, we expect raw materials to be slight headwind again in the third quarter, but caution likely you flatten out in the fourth. Finally, we saw a significant improvements in yield, waste, speed and productivity, driven heavily by 3M's many Lean Six Sigma teams around the globe. SG&A cost increased 9%, which included a 15% increase in sales and marketing investments. We continue to invest in advertising and promotion, which is up nearly 30% on a year-on-year basis, as well as sales reps and new marketing talent, particularly in high-growth developing economies. R&D investments rose $41 million or 13% to $350 million for the quarter. And once again, general and administration costs remained under very good cost control. Operating income rose 34% to $1.6 billion, a record for any second quarter in 3M's history and margins surge nearly three points to 23.7%. The second quarter tax rate was 26.6%, down about four points on a year-on-year basis due to a lower international tax rate, along with a resolution of a number of U.S. federal tax audits. We continue to expect full year tax rate to be about 28% or lower, which would imply a 29% rate in the back half of the year, with a third quarter slightly higher than the fourth. On a GAAP-reported basis, we generated record second quarter earnings of $1.54 per share, up 38% year-on-year. Please turn to Slide 7 for a look at our sequential P&L results. Sales rose 6% sequentially, despite approximately 2% points of currency pressure. So in fact, underlying volumes rose nicely versus the first quarter. Sequential growth was broad-based as five of our six businesses posted improvements and the other, namely Health Care, generated sales were about the same level as Q1. So the company overall continues to improve and expand quarter-by-quarter. In a subsegment level, there are many sequential sales highlights, but I'll hit just a few of them. Optical films posted impressive quarter-on-quarter growth of nearly 30% as customer production levels rose in anticipation of a good year of sales for LCD TVs and other electronic devices. Other notable increases include Traffic Safety Systems, Industrial Tapes and Adhesives and Automotive Aftermarket solutions. Our retail DIY business also posted a very impressive sequential sales gains, boosted by a continuous flow of great new products such as the new-generation Scotch-Blue Painter's Tape and Filtrete home Furnace Filters. Gross profit increase in line with sales and gross margins were a solid 49%. Back throughput in the second quarter was similar to Q1 levels and raw materials slightly higher on a sequential basis, but we managed to match Q1's gross margin percent regardless. Gross profit was boosted by ongoing productivity efforts, which continued to play a critical role in our future strategy. Future growth investments, demands continues to improvement throughout our businesses. SG&A and R&D investments, both rose 2% sequentially. Recall the stock option expense is the highest in the first quarter, commensurate with when we grant options to our employees. Adjusting for this SG&A and R&D, both increased over 5% on a sequential basis. Operating income increased 10% versus Q1, and incremental profits rose 40%. Operating margins were up nearly a full point versus the first quarter to 23.7%. Net income and earnings per share increased 20% and 19% respectively. Now let's turn to the balance sheet and cash flow. Please turn to Slide #8. Free cash flow for the first six months of 2010 was $1.9 billion, a year-on-year increase of over 10%, and we converted 92% of net income to free cash flow over the period. Slightly lower capital expenditures accounted for most of the difference. We anticipate that capital investments will begin to accelerate in the second half of 2010, as a number of our key product lines are at or near full capacity. We expect to invest approximately $1 billion on CapEx in 2010, and early forecast indicate that 2011 could be up 25% to 30%. These additional investments are mostly for growth-related investments. For the full year 2010, we are forecasting the free cash flow conversion will be right around 100%. Acquisition activity was light in the first half of the year, but we expect to increase our acquisition activity in the second half, with a number of good opportunities in the Hopper. Now working capital turns were 5.4 at quarter end, an improvement versus 5.3 last quarter and 4.8 one year ago. Accounts receivable turns were 7.2 versus 6.6 one year ago, and receivable balances are up only 8% year-on-year versus an 18% sales increase. So receivables are in very good shape. Inventories rose 15% year-on-year, again less than the rate of sales growth, and turns were 4.4 in June versus 4.3 one year ago. We certainly are not satisfied at these inventory levels, but considering the rapid ramp up in demand over the past two quarters along with tight supply in some raw materials, it was good to see continued forward progress in our turns. Overall, our working capital is in good shape, and we're well positioned for future growth. Cash return to shareholders totaled $748 million in the second quarter, roughly double the amount paid in both the first quarter of 2010 and the second quarter of 2009. We resume share repurchases in Q2 after a few quarters without, and we expect to continue buying additional shares during the remainder of the year. To quickly summarize, the second quarter was another very good one for 3M. We drove strong growth and outstanding bottom line leverage even with significant investments to continue driving higher future growth. We raised our earnings of guidance from a previous level of $5.40 to $5.60, to $5.65 to $5.80 per share, and we expect that organic sales volume growth will be in the range of 13% to 15% for the whole year, three points higher than our previous expectation. Operating margins should be north of 22.5% for the year, and we're anticipating a tax rate at or below 28% assuming no change of course to current tax laws. Finally, our balance sheet is in great shape and puts us in a strong position given uncertainty about the shape of the recovery. Regardless of how the economy shakes out, we'll remain focused on outrunning our competitors in delivering superior financial results. That concludes the formal portion of today's call conference call, so let's begin the Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Scott Davis of Morgan Stanley.
Scott Davis: Across the board, things were, obviously, very, very strong, I think with the exception of Health Care, which was kind of -- which I suppose is somewhat tougher comps because that business was pretty strong last year. I guess my question is kind of what are you seeing in that business because it was a little slow, at Dental here as well. Is there across the board some destocking going on in Dental? Is there -- is it just a function of kind of tougher comps? Just a little bit more color, I guess, is what I'm asking.
Patrick Campbell: Let me take it and then George can -- actually, they performed at basically their historical growth rate  give or take a point. You do have to recall that they did have some favorable impact of H1N1 in the second quarter of last year, Scott, probably to the tune of a point, point and a half of sales that didn't repeat here in the second quarter. But we feel very, very positive about the progress of that business. And a lot of it is, they did not fall off as much nearly as many of the other businesses. Our Oral Care business, as George said, was up 7%. So we had very good results there. So we really have no concerns within our Health Care business relative to the growth.
George Buckley: The two businesses that saw that kind of maintained, I mean, they compressed a little bit, Scott, but maintained kind of normal performance versus the Consumer and Office business and Health Care. And you're just really seeing some small debts from them last year and comparable smaller growth issues. So it's really arithmetic issue. It just measures the stability in Oral businesses rather than anything to worry about.
Scott Davis: The other thing, price down 0.6%. I think that's first quarter. We've seen kind of price turn negative. I know, obviously, we've got some -- the Display and Graphics is always kind of a negative price curve. But is there any kind of reason why prices came down? Because, I mean, most of your main commodities, I believe, in the first half of the year were probably a little bit higher.
Patrick Campbell: I guess no particular reasons, Scott. As you point out, the electronics is the fundamental, the structural piece of the price down. I think it's fair to say that if you'd ask the question, did we give up some price to maintain volume and so forth. When you look at our volume levels, I think it would be fair to say that there's probably some price, okay, that we're trading off to get some volume. But that's not a big concern for us. The businesses who have material cost increases are well aware of it, and they managed the relative position of price to cost very well as you can see in our overall margin results.
George Buckley: I think, Scott, there are some pricing opportunities that we might be able to grab now. And also, when you think about the very high mix of electronic volumes and sales, it kind of distorts the net pricing picture. So again, I don't think there's anything for you to be concerned about. But it looks like there might be a little bit of opportunity here and there.
Scott Davis: And just quickly, I just wanted to get a chance, and I know it's a little early in the year to start talking about pension. But just to try to make sure we get our models right for next year, if we had to mark-to-market where we're at with discount rates, where do you think that would be for next year?
Patrick Campbell: Well, Scott, let me first of all try to address kind of the broader issue. We have a very, very solid balance sheet. I don't lay awake at night worrying about kind of our pension plan from a funding status. You kind of asked a question probably more of an EPS. And I think it's important that you, as well as investors, kind of make sure that they would differentiate between EPS and kind of what the cash flow impact is going to be for a number of us who face a little bit of a headwind situation. But let me just try to, I guess, table set where we're at. Going into the year, we had a carry over amortization issue of probably in the order of about $200 million. So if you use tail end of last year's assumptions, and for our U.S. plan, that would have been an 8.5% ROE and 5.77% discount rate. That effectively left us in a situation that going into 2011, assuming those results affected, we would have about a $200 million headwind. If you then look forward, and I'm not going to give you a specific number, but I'll give you some sensitivities that you can look at, because obviously, we only measure this come year end. It's one of these things where you only measure it at one point in time during the year. But for every 25 basis point change in the discount rate, it impacts our pretax by about $28 million, and every point of return on assets is about $6 million. So hopefully that kind of helps you. From a modeling standpoint, you can look at kind of your own set of assumptions. It's of course here at the end of the second quarter. We entered an environment where discount rates have really come down very, very significantly. I would not look at that as a realistic point from a funding perspective, because I think most of us will probably believe that interest rates are going to have to ratchet up in the future. So it's just a matter of when we start to see that happen.  And I think we're all hoping of course that the equity markets have a little more of a back half rally to it. I think we'd all like to see that.
Operator: Our next question comes from the line of Steven Winoker from Sanford Bernstein.
Steven Winoker: First question around -- again, you talked a lot about, again, breaking up that top line core volume growth and talked about what is implied in sort of what must be share gains from new product discussions, et cetera. But how are you still seeing that restocking part of it playing out? I mean, as you now reflect back on the quarter, what's your sense in terms of total restocking? I know you just talked about dental a little bit, but just total restocking across the business.
George Buckley: Well, Steve, it's really not that high to be frank with you. We pull our people here, and they really say there's just not a lot. In fact, if you look at the Census Bureau data, it shows that there's a little bit maybe more destocking than there is restocking net-net. So I don't think that's a big factor. We tried to calculate what impact was in the first quarter because we have those in monster numbers. And we cranked in three into the number, it might have been a little bit high. So I don't think it's a big factor at all, Steve. Maybe it's 1%, if you want to sort of put a number on the total this quarter. It's certainly not more than two, it's certainly less than the last quarter. So I don't think that's what's driving it, Steve. It seems to be when you look at the market growth, and you subtract all of the other things you know, you're left with this sort of 8% or 9% of growth that you can only attribute to in a share gain or on a new market creation. And that's been the pattern that's existed for three or four quarters now. And of course, you can probably understand we intend to try to do our level best to repeat it. And so it does seem that the new product growth model seems to be working, Steve, and I don't think that it's a big piece of this is being driven by restructuring. Remember, a lot of the channels that we have, have no stocking. Automotive has no stocking points. Electronics has no stocking points. We don't really send a lot through channels that do. So I don't think it's a big deal, Steve.
Steven Winoker: For the second half of the year, as you look to that organic growth number that you've described, again, that's still dependent mostly on new product introductions and market share gains versus the cyclical rebound. Is that fair to say or...
Patrick Campbell: Yes, Steve, I would say that we're not anticipating that, I'll call it the restocking side, okay, is the reason for the back-half growth. It really is our fundamental performance in the back half of the year. I guess I'll just add to George's comment as he says, it's a little bit of a tricky question, okay, on restocking because when you're selling to OEMs and electronics and auto and the like, is we don't think there's restocking going on. Of course, until the point in time that, obviously, they overbilled, okay. And then there's some point in time they may have the excess inventory in that to adjust production schedules down. But it's very interesting that a lot of supply chains across the globe are very, very tight today just to meet existing schedules. So I don't think there's been a lot of room for people necessarily to build a lot more inventory back in the system. Plus, and let's face it, coming out of the recession, people are just more and more cautious about kind of a little bit of last minute ordering still, and they are waiting until -- and actually trying to tighten up the supply chain even more and pushing some of that back into the suppliers.
George Buckley: Steve, there's another phenomena that we've heard about, and that is in the electronics area. There is some double ordering. Because the supply chains are so tight, so lean, and some customers are worried about being able to get products, we do hear some occasional tales of double ordering. And of course, in the end, it's he who has the service quality, he who has the inventory is going to get that business. So you've got some kind of weird conditions existing in some of the businesses. So in part, I think it's not a big factor as we see it at the moment.
Steven Winoker: And could you maybe expand on the sort of incremental margins in Consumer and Office and Safety over the last quarter? Just struck me on the incremental side a bit low, but just peeling that apart a little bit.
Patrick Campbell: Yes, in both of those businesses, you just have to  be a little cautious, Steve, because of the sell into distribution and when we promote products. Generally speaking, in the first quarter and the consumers specifically, we don't spend a lot of money in average sales and promotion. But that starts to kick up here in Q2 and then through the rest of the year. If you look at those margins in that business though, you just kind of -- I still think that we're leading margins in about any Consumer business. So I look at that business really more from a standpoint of are we investing in it enough and really helping the retailers sell through the products that we have. So I think it's more of a timing of expense issue than it really is any kind of an incremental. So if you look at it over a trend basis, Steve, in kind of an annual basis or longer-term basis, they should have somewhere incremental margins. But you just have to be a little cautious on a quarter-by-quarter basis.
George Buckley: Only one last piece of color, Steve. We did decide to fund some projects on more advertising and merchandising and feet on the street in some of these emerging markets. There just seemed wonderful opportunities to us. So we did make some of that spending in this quarter. So again, I think you should see, as long as you understand the reasons behind the question or behind the data, you'll feel more reassured. Because actually the positive, we were investing in growth not suffering some sort of price compression or difficulties in the business. It was completely the opposite.
Operator: [Operator Instructions] And our next question comes from the line of Jeff Sprague from Vertical Research Partners.
Jeffrey Sprague: George, back to your kind of maybe closing thought before you tossed it to Pat on if you haven't cracked the code, how do you deploy capital to further capitalize on it. Obviously, R&D is lagging sales, not really from lack of wanting to spend R&D but the sales are just so darn strong. But I wonder if you look at the balance between R&D and capital, how you think things play out going forward. I think you've done a lot of work untangling the hairball as you used to call it. But you do have a lot of new products in the pipeline. Is the growth challenge there actually just getting the capital on place to deliver them? Or do you actually feel like you get the need to continue to really prime that pump more to drive the top line?
George Buckley: We talked about this. If you look at that roughly 30% or 31% NPVI number where we're at right now, and we really haven't lowered a lot more people in the system. It's a similar number to what existed when it was down in the low 20s and the late teens, and then clearly have -- we've driven some real good productivity in our R&D. Now you say, to ease off the question, how much more can we get out of productivity and how much do we need to put in real money on spend. You have to think of a couple of things there. One is just the basic kind of administration burden in R&D. Secondly, as Pat makes the point, we still got loads and loads of growth opportunities in emerging markets which are generally less expensive. So my kind of feeling on the R&D spend is, yes, it probably has to go up a little bit if we're going to continue to accelerate that 30, 31 number of the 40 which is what really is our goal. On the capital, I think the kind of growth rates we've been seeing in some of these businesses, in Optically Clear Adhesives, in Optical Films, in Abrasives, in the Renewable Energy in those areas, we have really just loaded those factories up. And I think, I only say it on the call because I think we remind it to ourselves as well as to investors that there is another piece to this puzzle, that we have to have capacity to do it. So I think right now, we seem to have gotten the R&D net-net. I think we got the R&D thing run pretty well, Jeff. And here and there, we are just going to have to pay increasing amounts of attention to investments in those big businesses. We have talked to investors about increasing the capital spend to the year probably taking up by maybe another $100 million, maybe turn up to $120 million, but something in that order in response to the question really that you're asking. I think we're okay for now. I think we have the people to execute it, Jeff. But if we continue to get these kind of growth rates for a long time, clearly, we're going to have to put some more people in here and get some more infrastructure to execute to make sure it's all kept in balance.
Jeffrey Sprague: And then I'm just wondering to get in the weeds a little bit on consumer, the organic growth was a touch lower than I was guessing. Was there any channel fill from kind of the label initiative or is that kind of more a back-half dynamic? Did that have any impact on the quarter at all?
Patrick Campbell: Yes, Jeff, specifically on your question on label initiative. Very, very small here in the second quarter, that's going to take a couple of quarters to kind of gain some volume traction here. But the other thing, I guess, maybe I should have brought this up with Steve, is last year, if you recall during kind of the recession period, the retailers were really struggling getting floor traffic. So they actually try to pull some of their back-to-school into the second quarter. So one of the thing's that we did see fewer back-to-school sales in the second quarter, which we'll see now into the third quarter. So that's purely a timing issue.
Jeffrey Sprague: And then just finally on Commercial Graphics, you're not the first company this earning season to start to hint that maybe some of these commercial markets are looking better. I wonder there if you can parse apart just kind of underlying demand versus your own new product momentum in that market. You see a genuine turn in demand? Or you think it's new products and penetration there?
George Buckley: It's hard to know exactly, Jeff, where it's coming from. If you look at the report you'll see that some of those markets are still pretty moribund. But I think the sales into distribution, R&D distribution there, Jeff, for the most part, utility sales, commercial construction sales, those sorts of things, which you see now that's for market division. I actually just briefly mentioned that in my remarks it will be a 17% growth. So I think it's way too early, Jeff, to be suggesting there's some kind of resurgence there. I'm hard-pressed to believe that. So I think it's us getting this through new products. And maybe here and there, maybe there's a little bit of restocking. If there's any restocking anywhere, that's the place in these distribution channels is where you'd expect it, Jeff. So I don't want to be forecasting any kind of resurgence in that market. It is way too early at this moment. But it does seem that the product formula is working to the extent this activity in that market.
Patrick Campbell: And a lot like the rest of our businesses, the growth rate outside of the U.S. was much higher in that business than it was inside the U.S. even though we did see some recovery back in the U.S. as well.
Operator: Our next question comes from the line of Terry Darling from Goldman Sachs.
Terry Darling: I wonder if you could talk a little bit about the incremental margins in the second half of the year implied in guidance. It looks to me if you kind of scope the high end to the low end of the range, you're more in the mid-20s. You were kind of 39% in the first half, and we're talking about the price/cost getting less negative in the back half as you trend through it, presumably you're stepping up some investments in that context. But I wonder if you could just talk a little bit more about the elements that are driving out lower incremental in the back half, and kind of what level of conservativeness you think you might be building in there?
Patrick Campbell: I guess two things, I guess factual to kind of talk about it here. One is we are stepping up our investments in the back half of the year around growth activities. Those programs take a while to gain the traction, need be. The FX markets, we think, vis-à-vis the first half will be a little bit more unfavorable the way they're kind of playing out here. The baseline of the assumptions that we had at the end of the quarter, now the euro has kind of bounced back here a little bit. But the way we do our forecast is really kind of more off of a quarter-ending rate. So FX is a little bit unfavorable, and I think you're looking at it from OI leverage, not an EPS leverage because the other thing you see on the EPS side, of course, is our tax rate is higher at the back half of the year. But I think you're focusing more on the operating income leverage. So those will be kind of the factors that I see. And then the other question always becomes what happens to the fourth quarter? I feel reasonably good about third quarter volume levels. Fourth quarter is always kind of a question as to what happens come December, around plant utilization and the like.
Terry Darling: And then you didn't get all the way into negative territory on net debt to cap, but you got pretty close. You did step up the buyback a little bit, but presumably, that's just in the context of offsetting the options. Just give us an update with regards to where you are in getting a little more aggressive with the balance sheet?
Patrick Campbell: Well, on the repurchase, it was not just anti-dilution. It really was our view as to there was  some good buying opportunities in the second quarter. And that will still be our mantra is that if we see a good opportunities in the market, we will continue to pursue them. But I must also say, on the other side, is that George and I feel a lot better about our acquisition pipeline as it's materializing here in the second half of the year. So that's kind of balance all those factors out. We all know that reinvesting back in this business is the right thing to do. So that's going to be our first and foremost priority.
George Buckley: I mean, if you think about the many acquisitions we've done and all the rebuilding we've done, we still manage to maintain good growth, raising great returns, great margins. It's really why I posed that question. I posed it for ourselves before anybody posed it for us because I knew it was going to go down that pathway. And as Pat said, we have a number of quite exciting acquisitions, which are close to maturity that we hope to get completed in the second half of the year. I think you'll be quite impressed with some of them, some nice technology, areas that we're trying to get closed. So I think you'll see this concern disappear, certainly weighing as the year goes on.
Patrick Campbell: And, Terry, also, I just want to rewind it back to Scott's question. Companies like us who have a pension legacy issue, part of the reason we do keep a very strong balance sheet is to be able to adjust to, I'll call it, shocks in the system. So we feel very good about our flexibility there.
Terry Darling: Just then lastly, George, wonder if you could talk about the 25% increase in CapEx in 2011, presumably the biggest increments go to where the growth has been highest. But any other color you can put on those initiatives for us? It's a pretty big increase and, obviously, you wouldn't be making those if you didn't figure an opportunity to continue to grow the business, but maybe you can put some more color there for us.
George Buckley: No, Terry, there are a lot of places, which you're getting a little bit tight on capacity. In particular, it's the Renewables Energy area. We need more capacity there. We need more capacity in some of these very, very exotic, shirt abrasive grain areas. We need some more capacity in Optically Clear Adhesives. The demand for display technology, with the kind of things that we make for them, is just enormous. So they are the areas, but they're not the only areas we're seeing good growth in the general industrial tech usage. I suppose at some stage, we really think you see some other markets like construction come back. But as you quite likely pointed out, Terry, it's focus on those areas where we see the greatest growth. And even in our Optical Films business, it's quite remarkable that the guys in Optical done just an absolutely magnificent job of reinventing that business, driving out just awfully massive cost, I mean, eye-popping cost out of it and increasing productivity per square meter by almost 300 percentage, just really quite remarkable what they've done. And it looks like, now you can -- you know how that business can be. But it looks like that business is set for the next year or year and a half pretty nicely, maybe in a little longer. And we'll probably going to need some more capacity. You need to alter some of our capacity, modify some of our capacity is dedicated to other places of possible priority or put some new capacity in there. So that's where the demand is going to be, Terry.
Terry Darling: George, just to follow up on that point on optical because it's interesting, I mean, with that much cost out, do you see that business, and obviously, there's still going to be cycle there, but do you see that the volatility of the margin through the cycle as less dramatic? I mean, through that cost out process, if you reduced the fixed cost, mix in that context or how should we think about that?
George Buckley: Yes, we have. I think you should yourself ask the questions and we ask it ourselves is what is the asymptote? The price on these electronics, it comes down and down and down and down. Of course, the ultimate goal of any large consumer electronics company making TVs is to have an empty box on the wall that cost nothing that does everything. And that's their ultimate goal. But if you just look at where the asymptote likely lie, look at the cost of materials, weigh them, look at the cost of the building material multiplied by some small return, and you can make some estimates of where that asymptote is going. If I was making an educated guess right now, Terry, I think the bottom of this cost reduction cycle for TVs comes within the next three years. And so I think if we continue to win that battle, so the asymptote gets there, I think the pricing pressure goes away. You reap the rewards of all the cost reductions and efficiencies that you've got. And what consequently happens when you get to the bottom of these kind of cycles, Terry, you see actually recounting. So I think this sort of matures then into a somewhat slower growth, stable margin, good margin, great relationship business that is like many other businesses in 3M, they've gone through this kind of transitions. I think the corner of that journey is somewhere close to three years away. So as long as we can keep on winning for around that time, Terry, we can be in great shape.
Operator: [Operator Instructions] Our next question comes from the line of Bob Cornell of Barclays Capital.
Robert Cornell: Just a couple of mop-up questions. At the Analyst Day, you mentioned, George, that the all incremental growth spending, a third of that would occur in the second quarter. Did it actually happen? Or sounds to me like you might have put some of the growth spending at the second half?
Patrick Campbell: I'd say the answer for George there. I'd say that realistically, with the projects we've got, it takes a while to get people hired and then in place and executing. So I'd say probably, Bob, it's probably moved a little bit beyond more towards the back half of the year from where we obviously have penciled on paper.
Robert Cornell: I mean, the corporate expense, and I like, allocated was again, your $80 million number looks like, which is in line with the first quarter but weighing more than I've modeled. I mean, what's going on there? What's the outlook for that line item for the year?
Patrick Campbell: Well, Bob, what's in there, year-on-year specifically, is, I'll call it, the finance-related losses on our pension plan. And I think where we've modeled that, about $30 million a quarter, I believe, is kind of the year-on-year impact. Some of the other things that are rolling through there are as our earnings go up, we do have higher, I'll call it, variable comp around bonus payouts and so forth. And that flows through there as well.
Robert Cornell: So how would you guide that for the balance of the year then? About $80 million a quarter?
Patrick Campbell: I would say that, that or slightly less than that, Bob, would probably be my thinking.
Operator: Our next question comes from the line of Stephen Tusa from JPMorgan.
C. Stephen Tusa: Can you just talk about what the third quarter organic gross target is? Just to get an idea of this kind of realtime economy, no real restocking/destocking, just curious as to what you're seeing in near-term?
Patrick Campbell: Steve, I don't think we gave a third quarter guidance number, but good try. But if you think about -- if you extrapolate the 13% to 15% and you take what we did in the first half, it kind of gives you a back half number if you just do the math as 8% to 12%. And you look at the comps, the comps are more difficult in the fourth quarter than the third quarter. So I think it's fair to say that the third quarter should be better than the fourth quarter from a reported perspective.
C. Stephen Tusa: So that comp gets about 10 points tougher from the third to the fourth from negative 5% to positive 6%?
Patrick Campbell: Yes, but I don't know if it's going to translate directly to that. I guess the other way I'd look at it is as I look at Q3 to Q2 is another way to think of it, I think Q3 will be a lot like Q2 from a revenue and absolute revenue perspective is maybe the way to kind of look at it, Steve.
C. Stephen Tusa: And then just on D&G, I know you guys have talked about that margin going back to around 20%, but I guess you're saying it's now more stable at a higher level. Are you now coming off that kind of 20% target for D&G now?
Patrick Campbell: Stable within our window of visibility, okay. What we've always said around that business, Steve, is that we understand the nature of playing in the consumer electronics game. And as long as George is explaining, as long as we're winning both on a cost standpoint and a product standpoint, it's a very good business. But you always have to be aware that, that business can change rapidly. So we're trying to bracket our thinking in that business around, on the downside, it can be a 20s type of margin business. But when it performs well, it will do very well for us. And we just want to be, I guess, fair with everybody to realize that within just kind of the nature of that business is that you can have that range of outcomes. But of course, what we're focused on is how do we keep the upside going? Realizing though that we have experienced and just the nature of the industry, such that at times, they can have a tendency to retract. So we're trying to provide a kind of a reasonable bookend for you to think about.
George Buckley: I think what was meaning [indiscernible] I'm sorry  I was just going to add something if I can, Steve. When I was speaking to Terry, I want to be clear that I meant that the stability would come when the asymptote had been reached. And the pressure on price, there will always be pressure on price in that industry. But I said that the 12, nice 12, nice 14 will probably translate to some minus three, that kind of number. And what I really mean is not the possibility of volatility between now and then, it's just when that asymptote is being reached. It's much more like it. This is a more stable, a more normal 3M-like business going forward.
C. Stephen Tusa: You gave a great bridge, I think, last quarter on the sequential increases, whether it's merit pay, investment. Any kind of moving parts going from second to third quarter from a cost perspective that isn't related to volume that we should be aware of?
Patrick Campbell: No, other than -- Terry did ask a question on incremental margin. When you kind of model it out, it does imply less than we've been running in Q1 and Q2. And really just around I guess two things: you got variability around foreign exchange and then you do have our new growth investment set as more back-half loaded, which is probably, we probably have $50 million to over $50 million more in the price of last half of the year than we do in the first of the year.
George Buckley: But they all going to accelerate, Steve. They really are.
Operator: Our next question comes from the line of John Roberts from Buckingham Research.
John Roberts: The strong June volumes that you talked about in Germany and other export-like countries, they were actually up more than the average for the quarter. Is that just because the comps were easier? Did they bottom late so they had easier comps in June or are they actually accelerating up?
Patrick Campbell: I just say they are accelerating. I mean, Germany, as the economy, has performed very well. Export-related businesses have performed well. But the question, remember that in the first half of last year, they were impacted. But I think Germany vis-à-vis the rest of Europe obviously has outperformed.
John Roberts: Secondly, is back-to-school ordering in Consumer and Office back to pre-recession levels? Could you maybe just characterize how that feels relative to maybe on normal environment rather than the last year?
Patrick Campbell: Because, John, it's a great, great question, I'm not so sure I can answer that. My intuition would say it's not. With unemployment the way it is and just a sensitivity around consumer spending, I would have a hard time believing that it's the same level that was back in kind of the pre-recession period. And remember, in the Consumer business, we actually start to see that all the way back into '07, so which is probably more of when the, I'll call it, the peak was.
Operator: Our next question comes from the line of Ajay Kejriwal from FBR Capital Markets.
Ajay Kejriwal: Just a question on emerging market, nice growth there, 38%. And you gave some nice color by country. But wondering if you could provide some comments on how much of that 38% is just underlying growth in those markets versus what you're doing on new products and new channels and all the initiatives you have in driving growth there?
George Buckley: I don't know the answer at the top of my head, Ajay. But I would say it's at least a 2:1 ratio. And it may be as much as a 3:1 ratio. We'll get Matt to get those number afterwards. But it's an excellent multiple. We are doing much, much better in local those markets. You can think that China market number, for example, 50%-ish was growth in their market in the early teens. If you're aware, we're on a 3x or more of multiple there. Germany is  obviously not an emerging market, but their IPI for the quarter was around nine. We put in 20 for the month, 27 in June. So between two and three multiple there, and it's the same in Latin America. So it does seem to be coming from the share gain or new market creation. That's the conclusion I think that you have to reach.
Patrick Campbell: Yes, I'd have a sense to look at it. What was the underlying growth rate of those economies, and say whatever we're kind of doing over and above that is really a combination of kind of penetration gains and new products. Recall what we said in some meetings is that one of our strategies is to invest heavily in these local technical organizations to develop products that are more closely aligned with local market demands. You start to see that significantly in place over like China and Brazil. Where we are, more and more, we got products that are more tuned to the local market. That we've also got the dynamic at a place like China where a lot of these electronics is moving to China. So a lot of the new product development that we've got in places like Optical and Optically Clear Adhesives also start to flow through in a place like China and Taiwan.
Ajay Kejriwal: As you look forward, that multiple versus the underlying economic growth in those countries, how do you feel about that? As you get some tougher comps, I would imagine some of that math will get compressed. But, I mean, the 38% looks a really robust number.
Patrick Campbell: I think if Inge Thulin was here, I think Inge would say that his objective for the emerging markets continues to be in that 2.5x, 3x the economy growth rates.
Ajay Kejriwal: And then on H1N1, that was clearly a headwind for both Health and Safety in the quarter. Maybe if you can remind us how much of that headwind in the third and the fourth quarters was 2Q the big, tough comp?
Matt Ginter: In each of Q3 and Q4 for the company, the number was about $90 million. So it's the equivalent of about a one and a half of drag on the growth rate for the total company in each of Q3 and Q4, Ajay. And the great majority of that would be in Safety, Security, Protection.
Operator: Our next question comes from the line of Jason Feldman from UBS.
Jason Feldman: A little bit of a follow-up on some of the supply chain issues, as long as it's ramped up, had you had issues with your own supply chain and the flip side as well? You've mentioned double ordering in electronics, do you think this capacity, but are there areas where you're really having difficulty keeping up with the demand or losing on a business today because of capacity constraint?
George Buckley: Yes, in some cases, I think that's what we are. There are some unmet needs, Jason, here and there. I think that's a fair observation.
Jason Feldman: And there's been a lot of talk about internal investments in R&D, but specifically, on the marketing and advertising, Consumer and Office and elsewhere, should we think of this as kind of a new run rate or we see kind of continued material linked business going forward?
Patrick Campbell: Well, I would say it's a new run rate until we decide that they're all, obviously, that they are paying off. And then we decide if we want to take on new investments on top of that. So in absolute dollars, we're now ramping up our spending. And then thus far, we're very confident on our growth projections for those investments. So if they continue to pay off the way we think they will, then obviously, we'll take a look to see should we ramp them up more? Now if you look at our ratio of sales, if you take a look at say SG&A, I do believe their SG&A cost will continue to get leverage out of SG&A in total as our revenue expands.
Operator: Our next question comes from the line of Laurence Alexander from Jefferies & Company.
Amanda Sigouin: This is Amanda Sigouin on for Lawrence. Concerning the consumer electronics end market, is 3M seeing any signs of momentum slowing here? And is that likely because customers are running into capacity limit?
Patrick Campbell: I mean, I guess, we haven't seen it specifically from our business, and I think part of this is cluttered a little bit because of, as George hummed about double ordering and so forth, the supply chain has been very, very, put it in kind of a fragile state. I've seen some reports over the last week where there's been some belief that maybe there's a little bit of a kind of a slowing and pull back a little bit. But thus far, we haven't seen it on our site from a demand perspective yet.
George Buckley: Amanda, the interesting thing about some of this big growth in electronic recently has come from technology changes, has come from the movement from CCFL backlit, LCD TVs, LED TVs, driven by brighter pictures, higher refresh rates, and much lower energy usage. So you've seen this driven by consumer making the choice to not only get new technology but getting it, with cost savings the source side of it. Certainly, all these display, these smart phones, smart display devices are all driving a large demand, new gaming, 3D cameras, 3D televisions, 3D gaming. So I think it's coming from new technology, and it is not necessarily connected directly with kind of consumer sentiment. Now whether in the end, that will fall off as bulls, we always would expect, it is. But in our business, we haven't seen anything to cause -- it doesn't mean there have at least some changes here and there, but nothing we've seen that would cause us any untoward upset. So, so far, so good.
Amanda Sigouin: And just moving to the automotive and related aftermarkets, could you provide any further color on trends you're seeing there and the outlook for the back half?
Patrick Campbell: Well, in the Automotive Aftermarket, probably, we'll be more like kind of current pace of activity. So that doesn't really change that dramatically. The OEM, so you'll get into a comp issue here as you get to the back half of the year. First half had very, very robust build increases, 25% in the first half auto builds. That will not continue in the back half of the year as how the industry went through the traction last year. They start to ramp up production in Q3, Q4 last year. So you just start to see smaller increases on a year-over-year basis on the auto side.
Operator: That concludes the question-and-answer portion of our conference call. I will now turn the call back over to 3M for some closing comments.
Matt Ginter: Well, thank you very much, everybody. Hope you like the presentations and like the results, very much appreciate your spending time with us listening, and we look forward to talking to you soon. Thanks a lot, guys.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation.